Operator: Welcome to the Q3 2013 Summit Midstream Partners, LP Earnings Conference Call. My name is Vivian, and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to Mr. Marc Stratton. Mr. Stratton, you may begin.
Marc Stratton: Okay. Thanks, Vivian and good morning everyone. Thank you for joining us today as we discuss our financial and operating results for the third quarter 2013. If you don’t already have a copy of the earnings release that was issued yesterday afternoon, please visit our website at www.summitmidstream.com where you’ll find it on the homepage or in the news section. With me today to discuss our quarterly earnings results are Steve Newby, our President and Chief Executive Officer and Matt Harrison, our Chief Financial Officer. Before we start, I’d like to remind you that our discussion today may contain forward-looking statements. These statements may include, but are not limited to our estimates of future volumes, operating expenses and capital expenditures. They may also include statements concerning anticipated cash flow, liquidity, business strategy, and other plans and objectives for future operations. Although, we believe that the expectations reflected in such forward-looking statements are reasonable, we can provide no assurance that such expectations will prove to be correct. Please see our 2012 Annual Report on Form 10-K and our other SEC filings for a listing of factors that could cause actual results to differ materially from expected results. Please also note that on this call we’ll use the terms EBITDA, adjusted EBITDA, distributable cash flow, and adjusted distributable cash flow. These are non-GAAP financial measures and we have provided reconciliations to the most directly comparable GAAP measures in our third quarter earnings release. And, with that, I’ll turn the call over to Steve Newby.
Steve Newby: Thanks, Marc. Good morning, everyone and thanks for joining us on the call. Before we get started, I just wanted to wish everyone on the call and all of our employees happy early Veterans Day. 30% of Summit employees are military veterans. So Monday is a special day for us. I’ll begin by discussing our third quarter highlights, our business operations, and then I’ll turn it over to Matt for more details on our financial results. I’ll then end the call with some additional comments including comments on our 2014 guidance that we released yesterday afternoon. Yesterday we announced our financial and operating results for the third quarter of 2013. It was a solid quarter and one where our recent acquisitions and more diversified operations began to show their effect. For the quarter, we had adjusted EBITDA of $39.1 million and adjusted distributable cash flow of $28 million. Adjusted EBITDA was up 69% year-over-year and 17% quarter-over-quarter. The year-over-year increase was due primarily to the benefit of having Bison and Mountaineer in 2013, while the quarter-over-quarter results benefited from inclusion of Mountaineer for the full quarter. If you recall, we completed the Bison dropdown and the Mountaineer acquisition at the end of the second quarter 2013. Adjusted distributable cash flow was up 28% year-over-year, but down 1% quarter-over-quarter. The quarter-over-quarter recorded decrease was almost exclusively to the higher interest expense from our bond offering which we completed in June. We accrued quarterly for the semi annual payment of this interest. As we mentioned on the second quarter call, we took the opportunity to use our excess coverage in the first half of the year to invest in our balance sheet with the long term fixed rate charge of debt. We announced on October 24, our third quarter distribution of $0.46 a unit which was a 5.75% increase over the second quarter distribution. Our coverage ratio for the first nine months of 2013 was 1.23 times, still above our 1.2 times target for the full year. On the volume front, total throughput volume in the third quarter averaged just over 1 bcf a day, which is a new record for Summit. The 6.7% growth over the second quarter was due to the continued ramp up of volume on the Mountaineer system. Now let’s take a little bit deeper dive into each system individually. At DFW, total volumes for the third quarter averaged 381 million cubic feet a day which was down 3.75% over the second quarter. Volumes were impacted because the third quarter is when we have our state regulatory shutdown of the system which last for two days. This effected volumes by approximately $5 million a day. So after adjusting for that event, volumes were 2% lower quarter-over-quarter. We continue to have active drilling in the area. We have three rigs working at the end of the quarter. This is beneficial for us longer term, but they contributed lower quarter-over-quarter volumes as producer shutting or curtail the effective tax during drilling operations. We connected one pad site in the quarter for Beacon and work is ongoing on two addition pad site connectors for Beacon. They continue to be active in our area and they are now one of our largest customers in the system. In addition, the installation of large national gas treating facility we announced last quarter remains on track to start up in the first quarter of 2014. Our Grand River volumes averaged 489 million cubic feet a day in the third quarter which is basically flat over the second quarter. After seeing volume declines in the fourth quarter of 2012 and the first quarter of 2013, we have now seen two quarters of relatively flat volumes on Grand River. I will remind everyone that in this area, Summit benefits from its very high level of contracted volumes that help to insulate our cash flows from fluctuations. However our cash flow actually will grow in this area as our contract before the portfolio had step ups in rate and volume commitments. Third quarter volumes in our Bison, associate gas gathering system in the Bakken averaged approximately 17 million cubic feet which was flat compared to second quarter 2013. We continue to see significant drilling around our system and we are doing a good job of connecting pad sites prior to first production. Offsetting higher volume growth are two things. First, we continue to increase compression capacity in the system, which has caused some volume disruption as we install the units. And second, we saw some operational disruption in the third quarter, actually into the fourth quarter as well to related to the handling of produced water system. We are installing some equipment to help to mitigate the problems and returning the return quarter on this operational issue. On a positive note, we are very encouraged that there is a substantial amount of gap in sales process transport and our customers continue to actively drill the area. We fully anticipate the increase in compressing capacity to be utilized once we complete the installations. On another positive note related to Bison, during the third quarter, we executed our revised agreement with Aux Sable Midstream, process of 25 million cubic feet of our system gas at their large Chicago processing facility. This revised agreement provides us firm capacity and also enhances our own and our customers recovery factors and economy. As volumes grow, we anticipate this revised agreement providing as enhanced cash flow and firm capacity with no additional CapEx requirement. On Mountaineer, which is our high pressure gathering system in the Marcellus, third quarter volumes averaged 135 million cubic feet a day, which compares to an average second quarter volume of 133 million cubic feet a day. The third quarter volumes were impacted by an NGL line issue that MarkWest had during the third quarter, which caused the curtailment of volumes on our system into the Sherwood Processing. So the line was down for about half of the third quarter. And the issue is now been resolved. Our volumes have more than recovered in the system, and we’re now transporting over 200 million cubic feet a day on Mountaineer. The volume ramp up on this asset is well underway. We mentioned on the last earnings call that we are very encouraged by organic opportunities around the Mountaineer asset. And yesterday, we announced the Antero Agreement to almost double the capacity on the system. The Zinnia Loop project wide 9 miles, a 20-inch pipeline that will take our overall capacity on Mountaineer to over 1 Bcf a day. The agreement is covered under the existing contract, which has 12 years remaining on it. We anticipate an in-service date by the end of third quarter 2014 for the project. The execution of this agreement obviously bodes well for the prospects of the area, our system and the Sherwood Processing Complex. We are excited to announce this significant project within five months of closing the transaction. And we’re also excited to expand our relationship with Antero and MarkWest whose plan we deliver to. So before I turn it over to Matt, I’ll summarize the quarter. The assets are performing well despite a few operational challenges during the quarter. We remain highly contracted with over 3.7 Tcf of gas committed to us over the next 10 plus years. In addition, our new areas of operation, the Marcellus and Bakken are poised to deliver significant growth for us in 2014, and I’ll discuss that a bit further when we go over 2014 guidance. With that, I’ll turn it over to Matt.
Matt Harrison: Thanks, Steve. I will cover the results of Summit Midstream Partners, LP or SMLP, and Summit Midstream Partners, LLC or Summit Investment, the predecessor of SMLP. SMLP completed its initial public offering on October 3, 2012. The results prior to our IPO refer to our predecessor, and results subsequent to our IPO, refer to SMLP. Also SMLP, acquired the Bison Midstream from a subsidiary of Summit Investments on June 4, 2013. The transaction was considered an acquisition from an entity under common control, therefore the Bison Midstream dropped on acquisition has been accounted for on as approved basis for all periods in which common control existed resulting in the combination of SMLP and Bison Midstream financial results beginning on February 16, 2013. Adjusted EBITDA for three months ended September 30, 2013 was 39.1 million compared to 23.1 million for three months ended September 30, 2012, an increase of approximately 59%. The $16 million increase in adjusted EBITDA was due to one, the drop-down acquisition of Bison Midstream on June 4, 2013 which contributed approximately $4.9 million of adjusted EBITDA in the third quarter of 2013. The acquisition of Mountaineer Midstream on June 21, 2013, which contributed approximately $2.7 million of adjusted EBITDA in the third quarter of 2013, and $1.7 million of transaction costs in the third quarter of 2012 compared to $100,000 in the third quarter of 2013. Also, certain of SMLP’s gas gathering agreements contract on this Grand River system contain annual minimum volume commitments or MVC and gathering rates that increase in the beginning of 2013. These contractual volume and rate increases help mitigate the 18% volume throughput decrease on the Grand River system when compared to third quarter 2012. Adjusted EBITDA in third quarter of 2012, included approximately $9.5 million related to MVC mechanisms from our gas gathering contract. This amount included $1.9 million of minimum shortfall payments that were recognized as revenue, $4.5 million associated with quarterly adjustments related to future annual MVC shortfall payments, and $3.2 million associated with the increase in deferred revenue related to MVC shortfall payment billings on our Grand River system. The $3.2 million of MVC shortfall payments was recognized as deferred revenue on our balance sheet. Additional tabular detail regarding MVC is included in the third quarter earnings release. Adjusted Bcf totaled $28 million in the third quarter of 2013, this implies a distribution coverage ratio of 1.2 – 1.12 times third quarter distribution of $0.46 for limited partner unit to be paid on November 14, 2013. CapEx for the third quarter 2013 was approximately $20.7 million, of which approximately $3 million was classified as maintenance CapEx. We had $255 million of debt outstanding under our revolving credit facility at September 30, 2013. Also on November 1, 2013, Summit Midstream Holdings, a wholly-owned subsidiary of SMLP closed on an amendment and restatement of its revolving credit facility whereby increase its borrowing capacity from $600 million to $700 million, extended the maturity from May 2016 out to November 2018, added $200 million accordion feature, and reduced its leverage base grid by 75 basis points to a new LIBOR based grid of 1.75% to 2.75%. The borrowing capacity on our $700 million revolving credit facility is approximately $435 million. A subsidiary of SMLP issued $300 million of 7.5% senior notes due 2021 in the second quarter of 2013. Total leverage as of September 30, 2013 was approximately 3.9 times. With that, I’ll turn it back over to Steve.
Steve Newby: Thanks, Matt. First some housekeeping on the rest of 2013. We are confident in achieving our full year adjusted EBITDA guidance of $140 to $150 million. Year-to-date we’ve grown our distribution 15% over the $0.14 minimum quarterly distribution, we’ve previously guided to 18% to 22% growth over the $0.40, and we’re confident in hitting that number. Yesterday, we released 2014 financial guidance with adjusted EBITDA of $170 million to $180 million, which we expect will lead to distribution growth of 10% to 12%. To be clear, this is 10% to 12% over our expected fourth quarter 2013 per unit. Our CapEx guidance for 2014 is $60 million to $70 million of growth CapEx and $15 million to $20 million of maintenance CapEx. So 10% to 12% distribution growth status claw with our current business profile. So as I’ve said before, our assets are performing well, we’re seeing some good growth around them, and this is manifested in our robust growth outlook for 2014. Keep in mind when comparing our growth CapEx to our distribution growth, that our strategy of doing our heavy organic development at the general partner leads to outsized distribution growth at the MLP with limited growth CapEx. Also, we continue to have a very large contract portfolio with commitments that escalate above rates and volumes. Important to note, this guidance is without any drop down activity from some of the Summit Investments, the owner of our general partner. So we expect to be at double-digit distribution per unit grower without any drop down activity while maintaining healthy coverage. As we have in the past, we feel like we should have provided some color at the GP, which remains the primary development vehicle for the Summit Enterprise. Last week we announced an operational update highlighting several initiatives at the GP. There were all positive developments for Summit. First, we executed a process improvement with a large producer in Western Colorado that will allow us to optimize our system further in that area and increase profitability. For those of you who are not familiar with our operations this agreement is on our Red Rock Gathering System. Second, in September, we brought online our gathering system and processing plant in the DJ Niobrara. This system is under our long-term fee-based processing arrangement, with a large independent producer. This is an active area and we expect continued growth in and around this asset. Finally, we began commissioning of the wide crude oil gathering system in October. System is being built to support the activities with several large independent producers in the area. We also announced the expansion of our Polar Crude Oil Gathering System with the execution of a new 10-year contract with an independent producer active in the area. This agreement was part of the approximately $250 million of additional CapEx that we discussed last quarter. We’re excited to convert some of these opportunities and actual projects, we expect to be successful in other organic growth projects in the area as well. So I wanted to take a step back for a minute and it brings for everyone the crude oil and water gathering system we’re building at the GP. As I think you can sometimes get lost or buried in press releases. We currently have under contract and are executing the build out of a crude and water gathering system in Williams and by accountings that will consist of 235 miles of crude lines and a 125 miles of water lines. In total the system will be capable of moving 170,000 barrels per day accrual and a 150,000 barrels per day on water. So that's a quite large system we are developing, and I don't think we are done yet. We continue to see multiple opportunities given our position to increase the scope and scale of our Bakken footprint. In summary at the GP, our continued high activity level in the development front coupled with our ability to bring projects in on time, in on budget bodes very well for continued healthy inventory of assets that will be offered to the partnership. Finally, on drop-down timing I will say a number of changes and our thoughts on this front, although we’ve added several new development projects at Meadowlark. We expect these projects to be online in 2014 and offer to the MLP by the end of 2014. As we’ve stated before the drop-downs will significantly increase the scale and diversity of the MLP when included at the Partnership. With that I will open it up for questions. Vivian, can you open up line.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) And our first question comes from Derek Walker from Bank of America Merrill Lynch. Derek, please go ahead.
Derek Walker – Bank of America Merrill Lynch: Hey, good morning, guys.
Steve Newby: Good morning.
Derek Walker – Bank of America Merrill Lynch: I guess the first question I have is just on the Mountaineer system with the looping project. It seems like you're getting significant pick up in capacity there with very little CapEx. I guess what are some of the returns you expect there? And then the second part of that question is, I think the Sherwood processing plant is being expanded up to 800 a day, this is going to a little over BCF a day. Do you see any additional expansion opportunities in late 2014 or early 2015?
Steve Newby: Yeah, thanks. This is Steve, I’ll take those. First, Antero announced or – and MarkWest announced, I think this week the Sherwood facility is being expanded to 1 BCF a day. And so that is something we had anticipated, and so that expansion Antero has contracted that already with MarkWest, and I think they announced that. This is a very, very active area. If you follow Antero and follow MarkWest, I think and follow up Crestwood too. I think all four of us would speak highly of the area and activity in the area and what’s going on. This project for us, you’re absolutely right, I mean it effectively double the capacity of the system through a looping project, but I would tell it’s safe to say it’s highly incremental to the MLP from a return standpoint, so highly accretive. So we’re very excited about it and it’s also covered under a step up in minimum volumes from Antero.
Derek Walker – Bank of America Merrill Lynch: Okay, got it. Thanks. And then next question I have is just – may be as far as shortfall payments, do you expect similar level 4Q 2013 and just regarding 2014 guidance. I guess what are some of your volume assumptions and guidance there?
Unidentified Company Representative: I’ll take the MVCs question. Yes, we would expect similar MVC activity in the fourth quarter relative to the third quarter. I will tell you in the fourth quarter is when the Encana payment will run through the MVC, so it will net to a similar effect but it will be a more ups and downs.
Steve Newby: Yes, Derick this is Steve. On volumes for 2014, let me give you some color there, I would anticipate in general flat volumes at Grand River and DFW as well too and then growing at Bison in Mountaineer probably not hard to figure those, those two hours. I will tell you on Grand River just to reiterate volumes don’t equal our cash flow there, we do expect our cash flow – revenue and cash flow to be growing there given our contract portfolio.
Derek Walker – Bank of America Merrill Lynch: Okay, got it and if I may just one more. Just at the GP level at Red Rock, you mentioned and the decommissioning of the North Douglas system. What are some of the potential cost savings there? And then do you ever see a scenario where the North Douglas system to be say re-commissioned?
Steve Newby: I’ll take it in inverse order. Yes on re-commissioning, it may get re-commissioned in other areas not necessarily in western Colorado I think we’ll be – I think our agreement with the large producer will take care of our capacity in that area. On cost saving fairly significant, it will allow us to – we get – we’re going to get a pick up there in two things. We’re going to get cost savings, but we’re also going to get a pickup on our recoveries, producer recoveries and that helps us as well too. We do have a few percent of proceeds contracts within that that portfolio. So I don’t think we’re going to release numbers on either of those since that’s a general partner, but they are fairly substantial for that western Colorado system.
Derek Walker – Bank of America Merrill Lynch: Okay that’s it for me. I appreciate the time guys.
Unidentified Company Representative: Thanks Derick
Unidentified Company Representative: Thank you, Derick.
Operator: And our next question comes from Justin Agnew from Robert W. Baird. Justin, please go ahead.
Justin J. Agnew – Robert W. Baird & Co. Equity Capital Markets: Hey, good morning. Can you guys talk about kind of what assets was in the GP that you guys are interested in dropping first and I guess kind of the strategy around diversification and that kind of stuff?
Steve Newby: Yes, Justin this is Steve. I’m going to take the asset a little bit different. Let’s talk about which ones will finish development we think in sequential order because as we’ve said in the past, what we’re doing at our GP is basically using it to incubate our heavy organic development. So as those assets get finished, they will offered, so we’ll take it at that way and you can connect the dots. We anticipate our two big projects at Red Rock. We are building a processing facility for Black Hills. We anticipate that project to be done by the end of the 2013, early 2014 timeframe. We are also in the midst of building out a gathering system for WPX that again is covered under a very nice contract and we anticipate that to be substantially complete. That will go on into 2014, but substantially complete by end of 2013 as well too. So those assets are finishing up the heavy development over here the next several months. At our Meadowlark subsidiary, we have several different things going on. So as I mentioned in my comments and as we mentioned in the release last week, we did – we have commissioned our gathering system in the DJ, in our plant in the DJ Niobrara. As an aggregate rate, it will still ramp up, but that system is online and running, and then our, crude oil systems, which I would really guide you to start thinking about those systems [indiscernible] as almost one system – those systems are – will continue pretty heavy development given our commercial activity through most of 2014.
Justin J. Agnew – Robert W. Baird & Co. Equity Capital Markets: Got it. Long shot here, any chance you want to discuss kind of run rate EBITDA up at the GP?
Unidentified Company Representative: I don’t, no. As of right now, I think – yes, go ahead.
Unidentified Company Representative: There is still a lot of development to do so. It’s really a meaningful – not very meaningful number.
Unidentified Company Representative: I think we will be consistent, I mean, we have north of $700 million of assets, so asset value up at the level.
Justin J. Agnew – Robert W. Baird & Co. Equity Capital Markets: Got it. Thanks, guys.
Unidentified Company Representative: Thanks.
Operator: And our next question comes from Lin Shen from HITE. Lin, please go ahead.
Lin Shen – HITE Hedge Asset Management LLC: Okay. Good morning. Thank you. I saw your file S-3, and I'm just wondering maybe it's time for you guys to tap the market to pre-fund your drop-down and also your CapEx?
Unidentified Company Representative: So…
Lin Shen – HITE Hedge Asset Management LLC: Can you talk about like what should I expect some secondary primary new futures from you guys or maybe probably wait for the next drop-down timing?
Matt Harrison: Yes. This is Matt Harrison, Lin, I’ll take one. So we dropped our shelf registration statement basically the first day we were eligible to drop our shelf, and then we responded to the SEC basically the first day that we could respond to the SEC. So there really was no intention on signaling any timing or anything on equity or debt offering with that. We will continue to iterate that that we intent to operate this portfolio of assets in a three to four time leverage type of environment or state and $700 million to $800 million of drop-downs come in by the end of the 2014, and so we will need to do something at the right time from equity and debt standpoint.
Lin Shen – HITE Hedge Asset Management LLC: Okay. So currently I think you are like about 4x leverage am I correct?
Unidentified Company Representative: Yes. We are just under 4x, 3.9x at the end of third quarter.
Lin Shen – HITE Hedge Asset Management LLC: Okay. Thank you very much.
Unidentified Company Representative: Thanks.
Operator: And our next question comes from Michael Wise from [indiscernible].
Unidentified Analyst: Hi, guys. Two quick questions. Are most of the operational issues behind you? And then two, so even though you are projecting 10% to 12% organic growth you are expecting drop down before 2014, correct?
Steven J. Newby: Hey Michael this is Steve, I will take those.
Unidentified Analyst: Hi Steve.
Steven J. Newby: Let’s take the operational issues first, the operational issues at Mountaineer weren’t really part of issues but they are behind us, MarkWest has repaired their line and came back up in early October, and it was line that affected the capacity of the Sherwood facility, so that is what happened there and it is fully repaired and up and running and as I mentioned our volumes have significantly increased through this quarter. So that’s behind us, at Bison, I don’t want to get too technical, it had to do with some produced water, I think that getting behind us. We are putting in place some equipment in some engineering fixers and that will go on over the next several of months. But we’ve identified the problem, we are fixing it and we expect to do not occur through 2014. On I think your second question was on growth let me clarify when you estimate 10% to 12% is actually distribution growth per unit and you’re absolutely right that 10% to 12% with out the credit of any dropdowns. We don’t – in our guidance we don’t put in a drop down lease. While we guide the market, we complete those structures of those drop downs, that is 10% to 12% without any assumed dropdown activity.
Unidentified Analyst: But based on what you see today, you will – you do assume some dropdown before the end of 2014?
Steven J. Newby: Yes, we’ve communicated previously the market affirmed it today, we anticipate the assets at our general partners today to be offered to the MLP by the end of 2014.
Unidentified Analyst: Okay and thank you very much.
Steven J. Newby: You are welcome.
Operator: Our next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Thank you, good morning everyone.
Steven J. Newby: Hi Nova, how are you?
Unidentified Analyst: 
,:
Steven J. Newby: Nova just to clarify, I think you talked about Colorado?
Unidentified Analyst: Yes, sure.
Steven J. Newby: And I will say, trying to read the TVs on anything political probably not a place where I want to go but I would tell you, I think you’re right in the sense as it affects us in our operations. It is very – it is somewhat regionalized in Colorado, Western Colorado is you would imagine we’re not seeing a lot of impact up there. That’s an area that has had oil and gas operations for quite sometime in different without sales going on into Wattenberg in to DJ. We are in the north part of the DJ right by the Colorado border or sorry the Wyoming border, so we’re also not seeing really an impact as it relates to our assets as well. I just would tell you overall, the oil and gas piece of the Colorado economy is fairly significant. So and well defined, well regulated already compared to other places in the country. So I think we will get through this.
Unidentified Analyst: Great thanks a lot.
Steven J. Newby: Thanks.
Operator: And I’m not showing any further questions at this time.
Marc Stratton: Well, thank you everyone. And please as always follow-up, if anything further comes up, and appreciate your time.